Operator: Good day, everyone, and welcome to today's Standard Motor Products First Quarter Earnings Release Conference. [Operator Instructions]. Please note, this call may be recorded. I will be standing by, if you should need any assistance. And it's now my pleasure to turn the conference over to Mr. Larry Sills, Executive Chairman with Standard Motor Products, Inc. Please go ahead.
Lawrence Sills: Okay. Thank you, and good morning, everyone. And welcome to Standard Motor Products First Quarter Conference Call, and we thank you all for attending. Here for the company are Eric Sills, our President and CEO; Jim Burke, Chief Operating Officer; and myself, Larry Sills, Executive Chairman. Our agenda for today, Jim will review the first quarter results, Eric will then highlight and go into detail on a few key topics, and then we'll open for questions. So with that, Jim, let's go.
James Burke: Okay. Thank you, Larry. Good morning. As a preliminary note, I would like to point out that some of the material we will be discussing today may include forward-looking statements regarding our business and expected financial results. When we use words like anticipate, believe, estimate or expect, these are generally forward-looking statements. Although we believe that the expectations reflected in these forward-looking statements are reasonable, they are based on information currently available to us and certain assumptions made by us, and we cannot assure you that they will prove correct. You should also read our filings with the Securities and Exchange Commission for a discussion of the risks and uncertainties that could cause our actual results to differ from our forward-looking statements. Beginning with our P&L. Consolidated net sales in the first quarter '19 were $283.8 million, up $21.9 million or 8.4%. By segment, Engine Management net sales, excluding wire and cable, in the first quarter '19 were $176.1 million, up $15 million or 9.3%, driving the high single-digit sales increase where customer pipeline orders not present in Q1 '18, tariff pricing to pass-through incurred costs and higher OES channel sales. We caution looking at single quarter results and excluding acquisitions continue to forecast Engine Management organic growth, excluding wire in the low- to mid-single digits. Wire and cable net sales in the first quarter '19 were $37.1 million, down $1.3 million or 3.3%. As previously stated, wire and cable will continue in general decline and anticipate 6% to 7% annual decreases. Temperature Control net sales in Q1 '19 were $68.9 million, up $8.7 million or 14.4%. As discussed in our fourth quarter 2018 earnings call, we anticipated strong 2019 preseason orders. Again, we caution against looking at single quarterly results as the temp season will ultimately depend on how warmer summer we get. Consolidated gross margin was 27.5% versus 27.7%, down 0.2 points. By segment, Engine Management gross margin was 28% versus 28.3%, down 0.3 points. Our Engine Management gross margin percentage was dampened 0.3 points due to pass-through tariff cost. In addition, as discussed on our fourth quarter 2018 earnings call, it was noted that Engine Management margins will be suppressed in the first quarter 2019 due to the timing of customer returns. For the remainder of the year, we anticipate Engine Management gross margins in the 29% to 30% range. Temperature Control gross margin was 23.5% versus 22.7%, up 0.8 points. Similar to Engine Management, pass-through tariff costs dampened the gross margin percentage. We continue to forecast Temperature Control gross margins in the 25% to 26% range for 2019. Consolidated SG&A expenses were $60 million versus $57.7 million, up $2.3 million, but lower as a percentage of net sales at 21.1% versus 22% last year. In our last earnings call, we anticipated SG&A spend in the $59 million to $62 million per quarter in 2019. Q2 and Q3 will be at the high-end of the range due to seasonality. This also excludes additional SG&A costs from our recent Pollak acquisition. Consolidated operating income before restructuring and integration expenses and other income expense net in Q1 '19 was $18 million, 6.3% of net sales versus $14.9 million, 5.7% of net sales last year. Excluding nonoperational gains and losses, our diluted earnings per share from continuing operations in the first quarter '19 were $0.57 versus $0.46 in Q1 of '18. Turning to the balance sheet. Accounts receivable increased $16.6 million from December '18 levels and $13.6 million from March '18 levels. Our strong first quarter sales over the fourth quarter and Q1 of 2018 support the receivables increase. Inventories increased $15.4 million from December and $35.5 million from March 2018. These increases are due to our seasonal business, and we expect year-over-year flat inventory levels, excluding any impact from acquisitions. Operating leases recorded on the balance sheet this year reflected right-of-use assets of $37.3 million, offset by current and noncurrent liabilities of roughly $38 million. We funded these working capital increases with our bank revolver. Total debt at March 31 was $83.9 million, an increase of $34.5 million from December and total debt compared to March 2018 levels was $12 million lower. Our cash flow statement reflects a $26.7 million use of cash in the first quarter '19 from operations as compared to a $6 million use of cash last year. Our seasonal working capital needs drives the use of cash from operations early in the year followed by positive cash flows from operations for the balance of the year. Investing activities reflected $3.1 million spend for capital expenditures, offset by $4.8 million cash received from the sale of our Grapevine, Texas facility in December last year. Financing activities included $5.2 million dividends paid reflecting a 9.5% increase in our quarterly dividend from $0.21 to $0.23. Financing activities also included $5.8 million repurchase of our common stock. At this point, we still have $4.4 million open authorization against the previous $20 million authorization limit. And financing activities also included roughly $35 million increased borrowings to fund our working capital needs. Lastly, on April 1, we announced the acquisition of Pollak business from Stoneridge, Inc. for approximately $40 million. We funded this acquisition under our $250 million revolver and remain very comfortable with our existing debt leverage on the business. We are pleased with the opportunities Pollak brings to SMP and Eric will discuss this further in his comments. In summary, we are very pleased with the start to 2019 and look forward to delivering continued improvements over the prior year for the balance of 2019. Thank you for your attention. I'll turn the call over to Eric.
Eric Sills: Well, thank you, Jim, and good morning, everybody, and welcome to our call. We appreciate you taking the time. I'd like to open by recognizing that 1.5 weeks ago, SMP achieved a major milestone. April 19 marked the 100th anniversary of our founding. We attribute this longevity to many things, but foremost among them is to the thousands of employees past and present who have devoted their time and energy into making us who we are and we thank them for it. And on to the quarter's performance and Jim went through the numbers, so I'll only add a bit of color on a few pieces and then provide an update on our recent acquisition. Overall, we're pleased with the quarter. Some of the positive momentum that we saw in the second half of last year continued as we saw gains in both divisions and a nice improvement in our earnings. I'll start with Engine Management. The division sales were up nearly 7% for the quarter and excluding wire and cable, were up more than 9% and several elements were behind this. First, as previously discussed, we have begun passing along tariffs to our customers. Second, as is often the case, we experienced some pipeline orders from certain customers as they updated their assortments. This type of sales activity is quite common, but was largely absent last year. Thirdly, we enjoyed a nice uptick in OE sales, especially with our compressed natural gas injectors being sold into heavy-duty systems in Asia. This is proven to be a nice business for us, but can be somewhat erratic in demand. And finally, we believe that the base business was healthy. Customer sell-through, which tends to be a good indicator of things to come, started the quarter sluggish but improved month-over-month throughout. And as we always state, customer purchase patterns can be somewhat lumpy quarter-to-quarter, but balance out over time and we continue to project longer-term growth in the low- to mid-single digits. Operationally, we're pleased to say that our wire and cable assembly plant in Mexico, which has been causing us excess costs for the last several years, has begun operating at normal efficiencies. As you are aware, we have been integrating the General Cable acquisition into this plant, which required hiring and training hundreds of employees. And while it was a long journey we have now arrived and I thank all of our people who worked so hard on it. Turning to Temperature Control. Sales for the quarter was strong as compared to 2018, but this was expected and articulated on our last call. Last year, selling season was robust and our customers ended the year light on inventory. They, therefore, ordered heavily this year to replenish their shelves, but it is very important to note that this is merely preseason orders in preparation for the summer and is not a predictor of what the full year will look like. So let's all hope it gets hot. Operationally, as you recall, last summer, we experienced elevated distribution costs due to a combination of the implementation of new automation that was not yet optimized and the strong surge of volume causing major increases in labor. We anticipate that this year will be much better for 2 reasons: first, by encouraging heavier preseason orders reflected in our strong Q1 sales, our customers are better prepared for the season and this should smooth out the demand. Secondly, we have worked diligently over the last 2 quarters fine-tuning our processes and are optimistic about our readiness. I'd like to now spend a few minutes talking about our recent acquisition. On April 1, we acquired the Pollak business from Stoneridge, which will be folded into our Engine Management division. The acquired business manufactures various switches, sensors and connectors and generates about $45 million in annual revenue. 75% of this business is OE, selling to both commercial vehicle and light vehicle markets, while the other 25% is aftermarket, mostly selling under the Pollak brand into the heavy-duty channel. We're very excited about this deal. It's a perfect fit to our overall acquisition strategy. To remind you, we see targets within our 2 major product lines that have readily achievable synergies, but that also get us into something a bit out of our core to grow upon. Pollak is just that. The products are quite similar to what we already make and sell, and we will able to achieve cost savings through integration into our low-cost plants. But it also helps us to diversify our portfolio by growing our relatively small footprint in the commercial vehicle space. Pollak founded 110 years ago, remains a well-respected name in this space, and we are hopeful that we can leverage the combination of their brand and our core competencies and grow the business. As for the integration, we acquired their production lines, but not their plants or people. Stoneridge will continue to manufacture on our behalf until we are able to relocate it. Most of the production is in Canton, Massachusetts with the balance in Juárez, Mexico. There is also a small distribution center in El Paso servicing the aftermarket accounts. We will be relocating all of it to existing SMP locations. We plan to move the majority of it to our Engine Management facility in Reynosa. It is worth noting that this is a much simpler than the move of the General Cable operation into our wire plant. General Cable is many times the number of new employees and required a 75,000 square-foot facility expansion, while this will fit into our existing footprint. We're currently working on our detailed schedules, but expect to have the moves complete within a year and achieve run rate efficiencies some time in 2020. So in closing, we're excited about all what's going on. The industry is healthy, and we continue to enjoy a prominent place in it. Our operational issues of the last few years are largely in our rearview mirror. These were all designed to make us a stronger company, integration of acquisitions, plant moves to improve our footprint and investments in systems to make us more efficient. We can now reap the benefits of these initiatives. We're diversifying our business in new and exciting arenas, commercial vehicles with the Pollak acquisition and our natural gas injectors, the Chinese market with our two joint ventures and growth into new technologies out of our Poland operation and our people are energized as we begin our next 100 years. So that concludes my prepared remarks. At this point, I'll turn it back over to the moderator and we'll open it up for questions.
Operator: [Operator Instructions]. We'll take our first question from Scott Stember with CL King.
Scott Stember: Just honing in on the margins here a little bit, I know you've said that returns and you definitely telegraphed that heading into the quarter, but returns had an impact on the Engine Management gross margin. Is it fair to assume that the delta between the 28% and your goals or the run rate of 29-plus percent was related to returns in the quarter?
James Burke: That's a major piece of it, Scott. That's there. And also as we kick off in the beginning of the year, we always have a pipeline of improvements that we're working on, moving product to low-cost areas and achieving make first buy and low-cost sourcing. So returns would be the largest component of it just because of the timing of it and other savings that we have for the balance of the year.
Scott Stember: And on Temperature Control, could you tell us what the tariff impact was to gross margin?
James Burke: We predicted that again, within the first quarter, it's a smaller piece that isolated it. We said that we are in the 0.7% to 0.8% range on an annual basis.
Scott Stember: Got it. And just moving over to Pollak real quick and then I'll get back to the queue. Maybe just talk about your expectations for the growth of that profile here, our understanding that it's, I guess - sounds like it's a low-single digit grower. How do you expect that to fit into your model? And how - maybe just talk about the margin profile and how we expect that to fold into the expectations of the 29% to 30% you have for Engine Management?
Eric Sills: In terms of the growth profile, it's actually what we acquired is a bit more mature. And so if we were to just leave it as is, it would be not slow growth, but would be more flat to potentially a little bit down as some of the OE contracts start to near end of life. But it's very stable product. Most of it's going into - when I say commercial vehicles, some of it is over-the-road, heavy-duty type vehicles, but it is also going into industrial, marine, material handling-type equipment, which technology is really, it's very stable and the vehicle stay on the road for a very long time. So there is not a need for continuous pipeline of new technologies coming in. All that being said, we did not acquire this to just leave it alone. We acquired it because we see that there are good opportunities to capitalize on their footprint, but also by putting behind it the breadth of our coverage. We have a lot of similar products that they did not have in the line, but work well into that space and to be able to capitalize on their brand in the aftermarket space and the customer relationships in the OE space. Our objective - it's hard to put a number on this because we're really just getting started, but our objective is to grow and build on this business.
Operator: [Operator Instructions]. Meanwhile, we'll move to Bret Jordan with Jefferies.
Bret Jordan: On the top line in Engine Management, a little over 9% ex wire, could you sort of give us a break out of what the tariff and the pipeline still contributed to that number?
James Burke: Yes, Bret. This is Jim Burke. Okay. on the tariffs, we don't break out the exact amount of the tariffs that's in there. It's - to ourselves, it's a lesser degree again as we're focused in North American manufacturing and then being with Mexico to U.S. and then our Polish operation there. So we don't identify specifically that amount. The impact on the margin percent we broke out, which was 0.3%.
Eric Sills: If you look at the components, Bret, of that 9% growth, the pipeline would be the biggest portion of it.
Bret Jordan: Okay. All right. And then on Pollak, I guess, as it's stand-alone, it's not growth, but you're talking about adjacencies and being able to grow it. What - is there any kind of a technology exchange where you can take their product and expand your own Engine Management censor business? And I guess as you shifted to Reynosa, how do you see their returns improving on the $45 million in revenue it's doing now?
Eric Sills: From a technology standpoint, it is largely older technology. So I don't see it helping us with technology, I see us helping it. Again, it's got plenty of runway left because a lot of the applications they just don't change, they're not especially and you start looking at industrial-type applications, they're not necessarily chasing new technology, which typically comes at an increased cost. They're looking at tried and true robust types of switching and sensing. But we believe that you put this into our breadth of coverage. We will have the ability to entertain replacement technologies with the customer base. And I would say, I don't believe I mentioned this in my response to Scott that the majority of the customer - certainly the majority of where the volume is, are customers that we already do business with. So we're familiar to them and have a dialogue and a relationship, and so this now positions us with them to be able to say, "Okay, this is what Pollak was providing for you." We want to be there as we start talking about newer technologies.
Bret Jordan: Okay. And then, I guess, as far as improving the return, I guess, sort of you pay close to onetime sales for flat top line. Is there a fair amount of margin potential in this as you shift its production?
James Burke: Yes, Bret, this is Jim Burke. Again, yes, we feel there is a benefit on there significantly. We're going to move into our low-cost areas that are there. So we think this is a very good opportunity for SMP: a, to grow the top line; and b, for the margins that we're going to pull from this business.
Operator: [Operator Instructions]. And we do have a follow-up from Scott with CL King.
Scott Stember: Yes, I appreciate what you were saying about how this acquisition will definitely have far less integration issues than General Cable there, but could you just maybe walk us through the timing of when you expect to be self-sufficient and actually producing the products yourself? And will there be any in-between inefficiencies that we have to think about as, I mean, obviously as you're moving all the tooling and machinery down from Canton down to Reynosa? I imagine there's going to be some inefficiencies and some redundancies. But just trying to get a sense of what we could expect and what we should be modeling at least at some point this year.
Eric Sills: Sure. I'll provide very broad brush strokes, Scott, but the ink is still wet on this deal. We're just now developing our move plans in conjunction with the Stoneridge folks. So we do not yet have the detailed time line in preparation for moves. We have bridge builds to make. We have discussions with customers regarding approval processes and so on. And so it's really premature to start painting too clear picture of time lines, but you're right, there will be prior to being it full efficiency, we'll step backwards a little bit as we incur some of the duplication costs, inefficiencies, training, travel, rigging expense, et cetera, which is going to take us really over the course of the next 12 months, I would say.
Scott Stember: Okay. Just one final question, I'm not sure if I heard the answer to it, but on a stand-alone basis, how does the margin stand up of the Engine Management segment for Standard versus Pollak?
James Burke: Yes, this is Jim Burke, Scott. Once we have it fully integrated, we believe that the margins will be moving, again, 75% of this, so we believe that will be moving close to the top line gross margins. But on the operating profit, it comes with very little SG&A excluding the amortization that we'll have once we finally do the full valuation between intangibles and goodwill. Cash, SG&A will be much lower. So the operating margins on this business will be very good.
Operator: [Operator Instructions]. We'll move to Robert Smith with Center for Performance Investing.
Robert Smith: So first, are there other Pollaks out there and could you just tell us what the possibilities are in moving into - more into OE emphasis?
Eric Sills: Bob, and yes, there are. This is a space that we have been gabbling in. We've got - going back a few years when we acquired Annex Manufacturing on the Temperature Control side of our business, that was more in this commercial vehicle space and then some of our own organic growth. We have been growing quietly this portion of our business. We see it as an attractive area. It's first of all because we're starting from a relatively low base, there's a lot of growth potential, but it's a nice stable market with reasonable margin potential and an area where we think we have some confidence. So we will continue to look to build not just on our existing business, but sure or absolutely as we look at potential M&A pipeline. This is a category amongst all the others that we've historically been looking at that's on our list.
Robert Smith: Okay. And as far as the labor category in general and supply training costs in Reynosa, in particular, with the Pollak integration.
Eric Sills: Well, it's - the labor market down there continues to be somewhat tight as it is really everywhere at this point. But as I've stated in my opening remarks, it's important to note that the headcount related to this business is really pretty reasonable. It represents as a percentage, not a huge amount of growth over what we already have in that plant as opposed to the General Cable deal, where we're trying to double a plant. This is adding a fraction of what's already in the building. So we don't see it as an insurmountable issue at all.
Robert Smith: Okay. And raw material costs your ability to pass on costs and what's happening in the transportation seems, so to speak, with costs?
James Burke: Yes. Robert, this is Jim Burke. Yes, we're incurring those same similar costs as our POs that are there where we feel very comfortable with the pricing environment that we have the ability to pass those costs on through the channel.
Robert Smith: And you mentioned the new technologies in the Poland operations. Could you give us a little more color on that?
Eric Sills: Sure. It's a plant that has a large engineering group. It's our single biggest engineering group. We have over 50 great engineers in the building, and they have been working beyond just more traditional technologies. They've been doing well into some advanced emission sensing products more on the OE side in that area. Exhaust - high-temperature exhaust gas temp sensing getting into some other technologies for the aftermarket such as variable valve timing and a little bit on the safety and ADAS side with parking sensors. So they have been able to really tackle just about anything we've thrown at them and with the types of new technologies coming on the market, we see them as our center of excellence to be able to bring this type of product in-house.
Robert Smith: Yes, that sounds promising. So I assume that you're going to expand that operation?
Eric Sills: That is our plan. We've been doing that since we acquired it in 2006 and there were only 50 people in the entire building. We now have over 700 in the building. And as I mentioned over 50 technical people, there's engineering universities in the city that we operate in. And so it's readily available to us and yes, absolutely, we plan to continue to grow that operation. So really, it's a great combination, I should say, not just from a technical standpoint in the ability to hire engineers, but also from a cost of manufacturing standpoint, we're being in the eastern part of Poland, our cost structure there is comparable if not better than being in Mexico. So it really creates a terrific combination of technical skills and low-cost manufacturing and we plan to build on it.
Robert Smith: That's it for me, and congratulations and all the best on the second hundred.
Eric Sills: Thank you, Bob.
Operator: And it appears we have no further questions at this time.
Lawrence Sills: Okay. Thank you all. But before we close, I just want to take this opportunity to thank and congratulate our employees around the world for achieving this 100 year in business milestone. It's really a singular achievement, and we thank them and congratulate them. And with that, this concludes our first quarter conference call. Thank you all for attending.
James Burke: All right. Thank you, and goodbye.
Operator: Thank you. This does conclude today's conference. You may disconnect, and have a great day.